Operator: Good afternoon, and welcome to Editas Medicine’s Fourth Quarter and Full Year 2019 Conference Call. All participants are now in listen-only mode. There will be a question-and-answer session at the end of this call. Please be advised that this call is being recorded at the Company’s request. I would now like to turn the call over to Mark Mullikin, Vice President of Finance and Investor Relations at Editas Medicine.
Mark Mullikin : Thank you, operator. Good afternoon, everyone, and welcome to our fourth quarter and full year 2019 conference call. Shortly after the market closed, we issued a press release providing our financial results and corporate updates for the fourth quarter and full year 2019. A replay of today’s call will be available on the Investors & Media section of our website approximately two hours after its completion. After our prepared remarks, we will open the call for Q&A. As a reminder, various remarks that we make during this call about the Company’s future expectations, plans and prospects constitute forward-looking statements for purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent quarterly report on Form 10-K, which is on file with the SEC. In addition, any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. Except as required by law, we specifically disclaim any obligation to update or revise any forward-looking statements, even if our views change. Now, I will turn the call over to our Chief Executive Officer, Cindy Collins.
Cindy Collins: Thank you, Mark. Good afternoon and thank you everyone for joining us for our corporate update call for the fourth quarter and full year 2019. In addition to Mark, I’m joined by several members of the Editas executive team, including Judith Abrams, our Chief Medical Officer; Charlie Albright, our Chief Scientific Officer, Michelle Robertson, our new Chief Financial Officer, and Tim Hunt, our Senior Vice President of Corporate Affairs. We are at an exciting point at a Editas Medicine, developing differentiated, transformational medicines across a range of serious diseases and nearing the point of seeing them work in patients. On today’s call, we will review some of what we have achieved over the past year, then look ahead to 2020 and beyond. So, let’s start with some of our accomplishments over the past year. We initiated the first ever clinical trial of an in vivo CRISPR medicine in collaboration with Allergan of EDIT-101 for patients with LCA10. We started IND-enabling studies for EDIT-301 as a potentially best-in-class medicine for the treatment of sickle cell disease. We amended our collaboration with Celgene, now part of Bristol-Myers Squibb, to focus on developing engineered alpha-beta T cell medicines for cancer. We are excited to continue our work with the leader in treating blood cancers. With the amendment, we received a $70 million cash payment and regained right to develop engineered gamma T cell medicine in oncology. We accelerated our efforts to develop engineered allogeneic NK cell medicines for cancer through a newly formed research collaboration. We enabled our development of healthy donor in case all medicines for solid tumors with cell expansion technology from Sandhill Therapeutics, and we are advancing iPSC-derived NK cell medicines using technology from BlueRock Therapeutics. And we added outstanding executive leadership with the appointments of Judith Abrams as our Chief Medical Officer; Michelle Robertson as our Chief Financial Officer; and Harry Gill as our Senior Vice President of Operations. I am pleased to have Judith and Michelle join me on the call today. These accomplishments give us momentum into the coming year. In 2020, we plan to announce dosing of patients in the first quarter in the Brilliance Phase 1/2 trial of EDIT-101 in collaboration with our partner Allergan. We plan to nominate a development candidate for autosomal dominant retinitis pigmentosa 4 or RP4, file an IND for EDIT-301 for the treatment of sickle cell disease, initiate IND-enabling studies for an allogeneic healthy donor NK cell medicine candidate to treat solid tumors, and finally present in vivo preclinical proof-of-concept data for an engineered iPSC-derived NK cell medicine to treat solid tumors. Now, let me turn the call over to our Chief Medical Officer, Judith Abrams, to update you on our Phase 1/2 clinical trial of EDIT-101.
Judith Abrams: Thanks, Cindy. It’s my pleasure to join all of you on the call today. As Cindy mentioned, last year we opened the Brilliance Phase 1/2 study for patients with LCA10 for enrollment. Enrollment activity has accelerated in recent months and we expect to announcement that on the first patient dosing in the first quarter of this year. As a reminder, the first patient dose in the Brilliance clinical trial will mark a significant milestone toward delivering on the promise potential of CRISPR medicine to durably treat devastating diseases such as LCA10. I’m also pleased to share that as our research pipeline continues to progress to the clinic, we are building our senior leadership in our clinical organization. I’ll now turn over the call to our Chief Scientific Officer, Charlie Albright, to discuss our broader pipeline.
Charlie Albright: Thank you, Judith, and thank you all for joining us on the call. Following EDIT-101, our next in vivo ocular program is EDIT-102 for the treatment of Usher Syndrome 2A or USH2A. Like LCA10, USH2A, is an inherited retinal disease that affects photoreceptors and leads to blindness. At the product level, EDIT-102 is nearly identical to EDIT-101 and that EDIT-102 uses the same AAV5 delivery vector, proprietary staph aureus Cas9 enzyme, and photoreceptor-specific promoter as does EDIT-101. Preclinical studies support the advancement of EDIT-102 in the IND-enabling study, since we have demonstrated editing levels, mRNA transcriptional levels and phenotypic restoration that are consistent with therapeutic benefit. Based on these data, we delivered a data package for EDIT-102 to Allergan for potential licensing and development as part of our strategic alliance we formed in 2017. Our learnings with EDIT-101 and EDIT-102 are being leveraged for other in vivo editing medicines, in particular, AAV delivery of staph aureus Cas9 is used in our medicine aimed at RP4, another inherited retinal disease, where we plan to declare development candidate for IND-enabling studies later this year. We’ve expanded our in vivo research pipeline into neurologic diseases in collaboration with AskBio and hope to present initial data this year. Transitioning to our engineered cell medicines programs. We are developing EDIT-301 as a potential best-in-class medicine for sickle cell disease and beta-thalassemia. Our program uses a Cas12 enzyme to edit the HBG1/2 promoter in the beta-globin locus to induce fetal hemoglobin and hematopoietic stem cells. Cas12a is proprietary to Editas and previously known as Cpf1. For those unfamiliar with our program, our approach is differentiated from competitors who either edit the BCL11A enhancer, locus or use gene therapy. We shared our latest data at the American Society of Hematology Conference in December. EDIT-301 edits at the genomic region where human mutations are found to increase fetal hemoglobin. This genetic support is important as these data reduce the risk of human efficacy and safety. In contrast, the BCL11A enhancer approach does not have human genetic validation. For EDIT-301 preclinical data shows HBG editing n hematopoietic stem cells is durable, induces high levels of fetal hemoglobin and does not negatively impact blood cell lineage. We plan for EDIT-301 IND filing for the treatment of patients with sickle cell disease by year end. The other major focus for our engineered cell medicines programs is to treat cancer. We’re developing an engineered alpha-beta T cell medicines for cancer in collaboration with Bristol-Myers Squibb, the leader in treating blood cancers where we believe alpha-beta T cell medicine has the potential to be particularly effective. In addition, we are advancing our wholly-owned programs by editing innate immune cells, including NK and gamma-delta T cells to treat solid tumors. We plan to begin IND-enabling studies mid-year for an edited healthy donor NK cell medicine to treat solid tumors. We recently announced work with Sandhill Therapeutics to accelerate our healthy donor medicines. Sandhill brings established processes, manufacturing infrastructure and proprietary expansion method. In parallel with the healthy donor program, we are advancing engineered iPSC-derived NK cells or iNK cells as medicines for solid tumors. In partnership with BlueRock Therapeutics, now part of Bayer, we made great progress editing and differentiating iPSC cell to form iNK cells. Combining the technologies of iPSCs and CRISPR gene editing, brings together two platforms that can revolutionize engineered cell therapies. We’re excited about this potential and look forward to updating you on our progress in the near future. Now, I’ll turn the call over to our newly appointed Chief Financial Officer, Michelle Robertson.
Michelle Robertson: Thanks, Charlie. I’m please to join you all today to introduce myself and present the Company’s latest financial results. I’ve been working in finance in the biotech industry for more than 25 years, most recently as the CFO of Momenta Pharmaceuticals and prior to that, in a number of leadership roles at Genzyme, Baxalta and Ironwood. To me what differentiated Editas from other companies is the infinite possibilities to develop medicines that we are working on to help patients. It’s hard for us to think of another company with as much potential as Editas develops through transformative medicine for patients with diseases of unmet need. In this role, the opportunity to make a difference in the future of the company were the big drawer. Now turning to the numbers. We have summarized our financial results for the fourth quarter and full year 2019 in the press release that we issued earlier today. Our cash, cash equivalents and marketable securities increased $88 million in 2019 to $457 million as of December 31, 2019, from $369 million as of December 31, 2018. Our uses of cash totaled $124 million and included cash operating expenses of $118 million and capital expenditures of $6 million. Over the course of the year, we grew the size of our organization by approximately 48%, increasing to 195 full time employees from 132 at the end of 2018. The growth in our spending in 2019 was the expansion and maturation of the pipeline and advancement of our platform. We expect this to continue to be the primary driver of spending growth in 2020. Our sources of cash in 2019 totaled $212 million and consisted primarily $116 million raised through equity insurance, $76 million of milestone payments from our business development partners, and $15 million in proceeds from stock option exercises. Editas is in a strong financial position with at least 24 months of runway to fund the business. And with that, I’ll hand it back to Cindy.
Cindy Collins: Thank you, Michelle. We are confident in our strong leadership to guide the Company as we become a clinical stage biotech and embark on our next phase of growth. It has been a busy past few months for Editas and an exciting time as we look toward the coming year. We have filled out our executive team and are confident that strength in leadership will support the long-term growth of the organization. Our best-in-class programs coupled with the unparalleled discovery research from our lab represent a pipeline of transformational medicines for diseases of unmet need. We are eager to see what 2020 and beyond will hold as we look to deliver on the promise of CRISPR to transform patients’ lives. We thank all of you for your interest and support.  With that, we will open up the call for Q&A. Operator?
Operator: [Operator Instructions] And our first question comes from the line of Steve Seedhouse with Raymond James.
Steve Seedhouse: My question is at ASH, so the data that was presented for EDIT-301, the nice data set, and you included sort of like the iterations on optimizing the protocol, whether it would the enzyme variant or the guide or the complexation conditions and electroporation conditions as well. So there’s -- basically there’s a lot of moving pieces there. And I wanted to understand if we set aside the fact that you guys are targeting a different a locus and some of the first movers in the gene editing approaches, I’m curious if you could characterize, to what extent you believe the other optimized conditions, so like the electroporation and RNP complexation are novel or are an improvement over what’s already been done, or does the best-in-class pitch for EDIT-301 just boil down basically to the different locus that you’re targeting?
Charlie Albright: Steve, this is Charlie. The best-in-class comes from a couple of things. One, we believe we have superior levels of fetal hemoglobin induction; and secondly, we believe we don’t carry in a potential bag as it comes with editing the BCL11A enhancer. As you appreciate, you can’t knock out BCL11A, because that causes dire consequences. And we in our preclinical models have found issues with even the BCL11A enhancer. So, we’ve gone at it after a site, in front of the hemoglobin locus. So, we know it’s genetically validated. And we scanned the entire hemoglobin locus, and we found sites that we thought could get the most fetal hemoglobin induction, then we look for the enzyme combinations would do that. So as you appreciate, there are both productive and non-productive edits anytime you cut. And we found that cutting at the site we did with Cas12a yielded a lot more productive at it than being cutting with Cas9. But to make that work as a product, we needed to optimize cutting with Cas12a. And we did that as you mentioned with the variety of methods. We have enzyme and variants of Cas12a that has increased activity, we have variations of the guide that increase the ability to do the editing, and we’ve optimized the electroporation conditions. And so, all of those things went into building the product.
Steve Seedhouse: That helps just to understand the sequence of events and the thought process quite a bit. I wanted also ask on EDIT-301, if the studies that remain ongoing are the gating factors to an IND, comprise any primate studies? And is it -- if not, is it worth testing the beta-globin targeting approaching in primates, or are rodent models sufficient to sort of see differences in biology between that versus the first generation approaches?
Charlie Albright: We don’t have any ongoing primate studies. So, to do the primate studies, you actually have to redesign the entire product. Because it has to be other kinds of primate genome. It’s not clear yet whether the primate studies are going to be more predictive than the rodent studies or not. And so, at this point, we feel like the thing to do is to get into the clinic as quickly as possible, because it’s certainly the clinical data that actually determines the course with all this class of medicine.
Steve Seedhouse: And just last quick one. It just looks like operating expenses went up considerably in the quarter. I was just curious, if you could shed some light on how that breaks out and what would carry forward into next year on a go forward basis? Thanks for taking the questions.
Michelle Robertson: Sure. The programs advance, we’ll continue to invest, especially as they go into the clinic. And we expect that to continue in 2020.
Operator: And our next question comes from the line of Amanda Murphy with BTIG. Your line is now open.
Amanda Murphy: I just had a few more questions around the oncology business. And I wanted to start out with the, I guess, now BMS relationship. You kind of specifically talked about allogeneic cells and I’m not sure what you can share there in terms of how that’s progressing. But just curious overall, there’s obviously a lot of competition there. You’ve been working on that for a number of years. They clearly re-upped with you and are interested in the program. So just wondering, what your thoughts there on -- there’s a ton of data coming this year, how those programs might progress? And I want to shift after that on to all the in-house programs that you’re working on. But let’s start with alpha-beta if we can.
Charlie Albright: Okay. Hi, Amanda, it’s Charlie. Yes, we did re-up with BMS. We -- they are the leaders in cell-based medicines for hematologic indications. And I think there’s a good chance that they’re CD19 and BCMA programs are going to be industry leading. We can’t share the details of what’s going on there. We can say in a more generic way that -- I think, that from a light perspective, they’re going to want to back up those programs and maintain their leadership. And so, we’ve disclosed a lot of data through the years about the types of edits we’re been able to make in T cells. And I think it’s safe to assume they’re going to want to use some of those same targets, but we’re not at liberty to disclose what the detailed products are.
Amanda Murphy: Yes, fair enough. And then, I mean, than obviously you’ve been building out quite a sizeable portfolio when you think about what you’ve done with NK cells and the Sandhill now with expansion, my understanding is that kind of one of the key challenges of using NK cells is a expansion technology. And so you’ve talked about, obviously working with Sandhill, BlueRock. And then, I think as part of the BMS agreement, you’ve got back gamma-delta cells. So, would love to just kind of get a high level view of how you’re thinking about the sort of innate effector cells as backbones. And you talked about solid tumor as a target, but just taking a step back from a from a high level pipeline perspective, how do you see this evolving over time and what else do you think is interesting? I think, T regs have also been discussed by some other companies, et cetera. So wanted to get perspective there.
Charlie Albright: Yes. We’ll take a stab at that. So, we like the innate immune system. And so, we feel like NK cells are the place to start. And I’ll come back to gamma-delta in a minute. So, we know that the NK cells are part of antibody directed cellular cytotoxicity or ADCC, which is part of the mechanism of your therapeutic antibodies, things such as Herceptin and Erbitux among others. And we also know that NK cells have a very low propensity for graft versus host. So, when it comes to making truly allogeneic medicines, they come already in a good place. And we further know that the path to making iPSC-derived NKs is reasonably well worked out at this point. So, all of those things we’ve taken together and are leading us to go after the major unmet need, which is solid tumors. We think that the NK cells, they’re exhausted as the T cells are exhausted in any of the solid tumor indications as well. And there are things that we can do about that via gene editing. And so, among the things we want to do is increase sensitivity to IL-15, targeting, make the CD16 pathway better, overcome the tumor microenvironment and make them truly allogeneic. So, all those things are possible with gene editing, the number of those you can do is limited with healthy donor and there in, lies the advantage of the iPSC platform, not only do they ease of making the cells, ultimately become much better, but your ability to construct highly engineered medicines, which we think are going to be needed to be successful in this space are enabled. So we are in the process of industrializing the platform, which is a combination of the editing platform we’ve built over the last five years with an iPSC platform that we’ve got a jump-start with by getting cell lines from BlueRock Therapeutics. Did that get you where you want to go?
Amanda Murphy: Yes. I think I asked way too many questions in there, but I think also just talking about expansion that seems to be -- it’s something that is a challenge with using NK cells. So wanted to get a little more perspective there and then also gamma delta.
Charlie Albright: Yes. So that’s part of what we get -- it’s a more of an issue for healthy donors than it is for iPSC-derived cells where you can just grow a whole lot. And so, that’s part of what Sandhill brings to the plate for us. So -- and that’s going to help enable our healthy donor program. We will begin but let us learn about what these different edits do in the context of solid tumors.
Amanda Murphy: So it’s fair to say then -- yes. Sorry. Go ahead. I’m sorry. Go ahead.
Charlie Albright: Gamma-delta is another part of the innate immune system. Obviously, it’s less the biology of gamma delta cells is less well worked out than NK cells are. But they remain an interesting area and among the reasons they’re interesting as the relationship between the number of gamma delta cells, you see in your solid tumor and the control that tumor are among the best things that are correlated in the control of solid tumor growth. So, it’s an interesting area, we’re glad to have the ability to now work in that area. And you’ll hear more about that in the coming months.
Amanda Murphy: So fair to say you’re using different approaches to really tackle solid tumor using edited engineered effector cells. So that -- is that the right way to think about it as a…
Charlie Albright: Yes. And we’re trying to -- and I would further say, we’re trying to take the natural properties of NK cells and make them -- and restore them and make them better. And so, NK cells, as I told you, participate in antibody-directed cellular cytotoxicity or ADCC. We also recognize cells that are lacking MHC. And so, thereby don’t express T cell antigens. And so, one of the major resistance mechanisms to PD-1 inhibitor is the loss of T cell antigen expression. So if you had a therapeutic that could specifically target those cells, you have a nice add on the PD-1.
Operator: Thank you. And our next question comes from the line of Matthew Harrison with Morgan Stanley. Your line is now open.
Thomas Lavery: Hi, guys. This is Thomas Lavery from Matthew’s team. I have a question about EDIT-102. When is your partner, Allergan, need to decide on next steps? And if they don’t opt-in, what would be your plans to pursue a trial alone? Thank you.
Charlie Albright: Sure. So the way the deal is structured is that, we agree on the targets and the option criteria with Allergan before we started a program and then we go away, we develop the medicine that fulfills the criteria. And then we deliver that option package, essentially at what would be known as a development candidate stage. So it’s ready for IND-enabling tox study. And then Allergan has a period of time to evaluate that package and make a decision about where they opt-in or not opt-in. And then after that, we have a window to decide whether we co-opt-in with them to co-develop in the product with them. We did that for LCA10. And then -- and if they decide not to opt-in, the medicine comes back to us and we have the right to develop it on our own.
Operator: Thank you. Our next question comes from the line of Gena Wang with Barclays. Your line is now open.
Unidentified Analyst: Hi. Thank you for taking my question. This is June [ph] for Gena. So my first question is really about the LCA10. Could you give us a, first of all, some guidance about when the clinical data will be released? That’s first. And then also, can you give us a bit color about the range of your initial dose you would have to pay? And also, what kind of biomarkers you would be looking for that will help you to decide whether you’re going to move on to the higher dose? I have a follow-up after that. Thank you.
Cindy Collins: Okay. Thank you for the question. So I’ll start with the first part of it and ask Charlie to talk a little bit more about biomarkers and dose range. But, the overall trial is going very well. We are actively screening patients and have not disclosed when we will announce data at this point in time. As I mentioned earlier, we expect to announce dosing of the first patient this quarter, but we have not made any commitment around when we might think about sharing data. Charlie, do you want to...
Charlie Albright: And so, we pick doses based on our preclinical studies. The low dose, we have a low, mid and a high dose, they are -- they span the dose that’s used by Spark in the LUXTURNA trials, it was found to be efficacy and efficacious. The -- and it’s a relatively narrow dose range, the lowest dose has a realistic chance of showing efficacy based on the preclinical studies, and you have to do that for a gene therapy trial. We’re looking at a range of clinical outcomes. Some of them are clinical, their visual acuity, as well as electric physiologic and structural markers, including ERG and OCT, and we’ll take all that data into consideration, as well as the safety and -- as we decide how to advance the program.
Unidentified Analyst: Great. Just following on that, how long you’re generally going to wait after dose your lowest dosing of patient before you think that you will have enough information to decide whether to move on to the higher dose? What’s the time -- week in time between the two doses?
Cindy Collins: So, we have a safety review at the conclusion of cohort one. And that review period can be -- program to be approximately six weeks in duration.
Unidentified Analyst: Okay. So I have another question about the sickle cell disease. Obviously, you have your preclinical data from ASH and you also elaborated about the advantages you have. So just for kind of myself benchmark understanding, what level of it efficacy you think will be something give you confident your program will be better or like best-in-class as you suggested? What the percentage of gene editing you are looking for to move forward?
Charlie Albright: I think it’s not so much of gene editing, it’s just fetal hemoglobin induction. So we’re, obviously, going to optimize the percent editing, based on the technical features. But really what we’re looking for are levels of fetal hemoglobin and then that would be predictive of clinical outcomes.
Operator: Thank you. And our next question comes from the line of Joe Thome with Cowen & Company. Your line is now open.
Joe Thome: Hey there, and thank you for taking my questions. On the EDIT-101 study, can you just let us know if -- has the first patient surgery been scheduled? And maybe what needs to happen before that patient is dosed? And then looking forward kind of toward the end of the year, do you still expect that you’ll have dosed kind of the first two cohorts of patients in that study by year-end?
Cindy Collins: Yes. Thank you for the question. So, as I mentioned, the trial is going very well. We are actively screening patients. As you heard from us previously, the screening and enrollment has been a little bit more complicated than other types of trials just getting patients lined up with family members, caregivers, things like that, but we are in daily contact with our partner, Allergan and working very collaboratively to continue to screen the patients. So I feel very good about where we are. We had said earlier that we do hope to treat both the first two cohorts by year-end and we’re still tracking toward that.
Joe Thome: Okay, great. And then one more kind of just on more broad strategy. Obviously, you have a lot of partnered and collaborative programs. When you’re looking at going into a new therapeutic area? I guess, how important is it to have a partner that you can kind of lend on their expertise and combine their strengths versus decide and do a program alone?
Cindy Collins: We’ve taken those, obviously, each one in isolation. And so, we have partners such as Allergan, where we have the extreme -- where we are co-developing and co-commercializing potential therapies. The partnership now with BMS, formerly Celgene-Juno was a little bit different in that it was a development collaboration. But our role was unique there. We weren’t cocoing products per se. With some of the more recent deals that we’ve done Sandhill and BlueRock, and to some degree, AskBio, those were really purposeful in terms of getting access to either technology or capabilities that we thought were important to facilitate getting the programs up and running and going much more quickly.
Joe Thome: Great. Thank you so much and congrats again on the progress.
Cindy Collins: Thank you.
Operator: Thank you. And our next question comes from the line of Geulah Livshits with Chardan. Your line is now open.
Geulah Livshits: Hey. Good afternoon, guys, and thanks for taking my questions. So, to follow-up on that prior questions about EDIT-101. So I think at the third quarter results it was mentioned that the patient had been identified. [Indiscernible] stick to some of the factors around the timing of dosing. And is that same patients is the one that still expected to be dosed? And then I have a couple of follow-ups.
Cindy Collins: So, I’m not sure I recall specifically the statement about first patient being identified a per se, but we are, as I said, actively screening patients. We have identified patients for the first cohort and are working even toward the other cohorts. So, that’s what I can say at this point is that, we do expect to announce dosing our first patient this quarter.
Geulah Livshits: Great. And then, actually to follow up on some of the questions regarding the oncology programs. Can you elaborate a little bit more on the Sandhill collaboration and what drew you to work with that company? Then I have a follow-up on that.
Charlie Albright: Sure. Sandhill has developed a technology they call BINATE, which allows the efficient expansion of NK cells, which is -- was -- as referred to earlier, a significant issue in the field. So that’s the primary driver of that. It’s a group that has experience in developing cell-based medicines as part of earlier companies and we felt like they could be a good partner in the NK field because of the technology they developed there.
Geulah Livshits: And that tech also applicable to the gamma delta cells or is that primarily for the NK program?
Charlie Albright: There are elements that may be applicable to gamma delta that the primary use in the short run is for NK cells.
Geulah Livshits: And then I think at some point you previously had a collaboration with Gamida Cell. I think around NK technology. So, can you remind us, is that something that’s still active? Or is this the Sandhill collaboration to perceive that? Or do both approaches come into play for a donor-derived program?
Charlie Albright: Yes. Those were independent collaborations, and we had an MTA with Gamida Cell.
Operator: Thank you. And our next question comes from the line of Silvan Tuerkcan with Oppenheimer. Your line is now open.
Silvan Tuerkcan: Well, congrats on the quarter, and thank you for taking my question. My first question is again about LCA10 data, when we eventually get it? Probably toward the end of the year? How comparable or what can we compare across to the Phase 1/2 clinical trial for by -- ProQR just in terms of is it similar patients? Is it not what’s comparable? What’s not? If you could give us some color there would be helpful?
Cindy Collins: So to comment on data, I do anticipate that there is the potential to have some data to share by the end of the year that’s done. Our previous guidance, I’ll ask Charlie to comment on the ProQR portion of the question.
Charlie Albright: The patients are relatively comparable, that’s the short answer to your question. There is not huge differences. I wouldn’t know if there are detailed differences but they’re in the same ballpark.
Silvan Tuerkcan: Great. Thanks. And maybe one question for Michelle, as you’re taking on the role of the CFO. Could you maybe help us understand how you view the different programs in, i.e., oncology and D&S now and sickle cell in terms of maybe on the dimension of risk versus pay off versus how you would allocate assets toward them?
Michelle Robertson: Sure. I feel getting at the speed on the portfolio, but I think that we are comfortable with the two pillars that we’ve talked about publicly at JP Morgan and of the programs and the relationships that we have with our partners. I think that what we’ll continue to do is assess the portfolio as a whole. So that we can prioritize the programs in our investments and map out our timelines in the events. And as we think about financing and supporting the portfolio, I believe that prioritization is going to be sort of key for the next 12 months to 24 months because the -- we have such a good pipeline and that we’re going to have to -- I think focusing on the high-value programs, working closely with our partners.
Silvan Tuerkcan: Great. Thank you so much. And maybe one last question here on this AskBio, CNS partnership. What are kind of the indications that you’re going after in the long-term?
Cindy Collins: We have not yet disclosed the indication that we’re pursuing with them.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Yanan Zhu with Wells Fargo Securities. Your line is now open.
Yanan Zhu: Hi. Thanks for taking the questions. So first question is on EDIT-301. Would you at some point share preclinical data comparing your gamma-globin promoter targeted approach versus the BCL11A enhancer approach? And also just hypothetically speaking, if there anything to be gained if the two targeting approaches are combined? Or do you think the gamma-globin promoter approach achieves maximum HBF induction already? Thanks.
Charlie Albright: Sure. The answer to your first question is, yes, at some point we will disclose the comparative data, but I’m not sure when that will be. Combining them is an interesting question. I think there are some technical challenges with doing that. I guess, that wouldn’t be our first move is. I guess, you’d have to edit -- you’d had to do both editing events at the same time. There will be some technical challenges that come with that.
Yanan Zhu: Right. Got it. Just a -- yes, so the purpose of that question is mainly to see whether the two approach has -- there are HBF inductions that could be achieved by independent, say, different mechanisms or perhaps they are working in the same pathway and one is better than the other? But yes, I agree that it’s not a real proposal, but rather to understand the pathways. But maybe a quick question on the NK cell program, in terms of the kind of -- kinds of edits you’re doing, I think you mentioned you’re editing to increase potency of NK cell killing. Would the edit -- any edits to increase persistence also something that you’re considering? Or do you see this mainly as a multiple dosing approach and therefore, persistence doesn’t really come into the equation? Thank you.
Charlie Albright: We will make edits to increase persistence even and multiple dosing still remains on the table as well.
Yanan Zhu: I see. Thank you very much.
Operator: Thank you. And this concludes today’s question-and-answer session. I would now like to turn the call back to CEO, Cindy Collins for closing remarks.
Cindy Collins: Great. So with that, we thank you for participating in today’s call and for your support, as we work to bring transformative new medicines to patients. Have a great evening.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.